Operator: Good evening. This is the Chorus Call conference operator. Welcome, and thank you for joining the Geox First 9 Months 2025 Financial Results Conference Call. [Operator Instructions] Let me introduce you to today's call speakers, the Geox Group CEO, Mr. Francesco Giovanni; and the CFO, Mr. Andrea Maldi. Geox would like to remind that any forward-looking statements disclosed during this call involve risks, uncertainties and other factors that may cause actual results to differ significantly from what is expressed or implied. Many of these factors are behind the group's control. At this time, I would like to turn the conference over to Mr. Francesco Giovanni, CEO of Geox. Please go ahead, sir.
Francesco Di Giovanni: Good evening. Thank you very much. Good evening, and thank you all for joining us. Let me summarize in a few statements what has happened over the last 9 months. We report a 3.8% decline in sales compared to the same period of last year on a like-for-like basis, as market conditions and overall consumer dynamics continue to affect sector demand, which remains in significant contraction. However, I believe it is important to notice that despite such market dynamics, our direct retail channel delivered sales substantially in line with the previous year, in line with our most recently adopted strategy, but also taking into account such challenging market conditions. We focused with strong determination on cost rationalization and efficiency measures, which enabled us to achieve a higher adjusted EBIT than the first 9 months of 2024, the previous year. For the full year 2025, thanks to the aforementioned cost containment measures, we forecast an adjusted EBIT margin in line with the previous -- with previous plan expectations and the bank debt in the range of EUR 100 million, EUR 110 million despite the aforementioned high single-digit weakness in sales. The challenging market we live in is further confirmed by the wholesale channel sales campaign for the Spring/Summer 2026 collection, which has been concluded in September, which has recorded a slight decrease in volumes compared to the Spring/Summer 2025 season. Overall, we can say that the company is fostering a change process, as we indicated in the past. A lot of things are happening in the company. We will strive to move on with our turnaround measures. And I'm happy to turn the floor now to Andrea Maldi to talk about the 9 months that has gone by. Thank you very much.
Andrea Maldi: Thank you, Francesco, for your introduction, and good evening, everybody. I will try to give you highlights of the 9 months 2025 sales. And just as overall assumption, we can say that the wholesale business remained under pressure, mainly reflecting the softer sell-in for the 2025 Spring/Summer and Fall/Winter '25 campaign across all the geographies. If we talk about retail, we can see a minor decline, which is mainly driven by a perimeter reduction. And instead, if we look at the web, e-commerce in general, we can register a weak performance in the wholesale and marketplace platforms, which has been only partially offset by the very good performance of our own web DOS distribution. Having said that, if you look at the numbers, we set -- we reached the target of net sales to EUR 492 million, which is a 6.2% decrease compared to last year. But if we compare on a like-for-like basis in terms of perimeter, the decline is much lower and is set at 3.8%. The EBITDA adjusted margin is higher than the 9 months 2024. And the bank net debt, as mentioned by Francesco, is in the range of EUR 106 million compared to EUR 103 million of the period December 2024 and EUR 138.4 million as of September '24, if we look at just 9 months. If we try to have a look again more in detail into the sales by channel, we say that we started from a last year of 9 months '24 at EUR 525 million. We are impacted by a perimeter reduction. As you remember, we closed last year 2 important markets, China and U.S. for a total value of EUR 13.4 million. And having restated the perimeter, we can say that the wholesale is declining by EUR 9 million compared to the same period of last year. And this decline is mainly driven by the softer sell-in, as we said, of the Spring/Summer and Fall/Winter 2025 campaign. And the negative performance has been mainly driven, we will see later in France, Iberia region and Russia. At the same time, we have a retail, which is almost flat, as we said. Like-for-like as just said at minus 0.6%, we can say flat, while we have been impacted by a perimeter effect by the reduction of our distribution of EUR 1.3 million. If we look at, again, e-commerce to different speed of pace. Clearly, the -- our own DOS website is performing strongly, is positive and it is growing with a significant -- an important percentage of growth, sorry, 3.7% plus compared clearly to wholesale web distribution, which has been instead negative in the 9 months and by marketplace performance, which is strongly negative, but also is determined by our own decision of winding down some of the platforms that we were not performing in terms of profitability, despite this a conscious decision to exit business, which is lowering our overall profitability. If we try to have a look at the sales by region, -- we can see that Italy is almost flat, EUR 144 million compared to EUR 143 million. Europe, the overall performance moves from EUR 239 million to EUR 235 million with an overall performance, which is slightly negative as the positive results, which is coming from the retail channel has been more than offset by a weaker performance into the wholesale distribution. This is mainly happening in France and Iberia region, as we mentioned. France, overall instead continues to deliver resilient and positive performance in retail, reflecting the solid market leadership while it is underperforming in the other channel . if we look at the rest of the world, clearly worth to mention, worth to notice that the performance needs to be is mainly impacted by the perimeter effect of the closing or the winding down of 2 main -- 2 markets of China and U.S. And at the same time, we have an important decline of the business in Russia in the range of the EUR 16 million within the 9 months. Quick highlight on the sales by product, mainly dividing the world into footwear and apparel. The percentage remain -- in terms of percentage remain unchanged compared to last year, being the footwear business still representing 91% of our own -- of the total business and the apparel is in the region of 9% to 10%. I would like to give you a highlight of the overall structure of the distribution of our brick-and-mortar retail network. As we can see from the chart, we see that we have an important perimeter reduction. We moved from the 616 number of doors in 2024 -- at the end of 2024 to 569 at the end of the 9 months 2025. The reduction, if we look at the structure, is mainly driven by the reduction into what we call franchisee in deal. So the -- our own partners that are working within our own perimeter. We decreased that number from 141 to 111, so a decline of 30 stores in the 9 months, while the structure of the -- our own shops remain substantially unchanged with a slight negative of 4, which is clearly the average between the new openings and the shutting down of the shops, which were not performing. Just again, a quick highlight on the net debt as of September 2025. We mentioned EUR 119 million as overall value of the net debt and the net financial position, which is clearly including a negative fair value of the hedging instrument, which is in the range of EUR 14 million -- sorry, of EUR 12.5 million. Therefore, we confirm that the bank net debt as of September 2024 is EUR 106 billion, which is in line with our forecast, with our expectation for the year and is setting up positively for us the trends to be in line with our expectation at year-end as well as committed to the original budget. I think that in terms of outlook, -- based on the performance that we have recorded in the first -- in the 9 months of 2025, our company forecast is that the 2025 sales for the full year are expected to decline a little bit more than what we have seen in the previous market presentation, moving into the high single-digit area compared to what we have represented in the fiscal year 2024. On the other side, we continue to work to perform and protect on the adjusted EBIT margin, which is -- which we estimate to remain unchanged compared to the target that we set for 2025, thanks to the strong ongoing initiatives into the rationalization and cost saving initiatives. And the net debt -- the bank net debt is expected to be in the year-end in the range of EUR 100 million to EUR 110 million, which is again in line with what we have forecasted at the beginning of the 2025 in January. So thanks for the attention. I think that we are now opening the session of the Q&A, if any.
Operator: [Operator Instructions] The first question is from Oriana Cardani of Intesa Sanpaolo.
Oriana Cardani: Thank you for taking my 3 questions. The first one is on the Q3 sales performance by category. Is there any difference between men's, women's, children's between the premium and value segments? Or is the weakness of the quarter general across all categories? The second question is on the measures implemented to accelerate savings. Regarding the agreement reached with the trade unions, can you tell us the expected structural savings from these measures starting in 2026? And besides personnel costs, have you found other areas for intervention such as in supply chain or logistic cost? And finally, do you plan to present an update of the business plan next year?
Andrea Maldi: Okay. thanks for your question. I tried to give a fair answer to all your point. The first one is on your business mix in terms of decline. Overall, we have seen that we are struggling mostly on women categories, mainly on the [ sandals ], which is resulting in 8.5% decline compared to last year. And overall, if we look at the third quarter 2025, we have a women performance, which is still quite weak in the range of minus 15.4%.
Francesco Di Giovanni: This is primarily -- excuse me, Francesco Di Giovanni. This is primarily driven by a very dramatic September result, which in October saw a rebound, not significant rebound in inventory part.
Andrea Maldi: Coming to the second point, which is related to the overall restructuring costs on the personnel side, there is clearly some sensitivities. So what I can say so far is that we are working in order to incorporate in our year-end results, the cost of the restructuring or at least, let's say, 70% of the cost of the overall restructuring. We are working on the detail to perform on the number. And the expected saving in 2026 is at least in line with the value of investment that we are going to make in 2024 -- in 2025 to prepare the first side of the restructuring. What I can also say in terms of the overall impact of the -- this project is that the run rate of the savings expected is paying back 1 year completely the investment that we are going to do in -- overall for our restructuring project. I think that we will have much more details clearly at year-end once we will have satisfied all the compliance activity that are currently under way of being performed in terms of determination exactly of the amount that we want to invest, how much of this amount will be cash driven, cash paid in 2025, how much will be just accounted into the P&L. We are working on this detail. But overall, the overall project is really profitable because the payoff in a run rate basis is in less than 1 year.
Francesco Di Giovanni: Well, in addition to that, we can say, this is Francesco to join again, we can say that the restructuring plan is moving along quite quickly. We have had thus far approximately 60 people accepting the offer that was made to leave the company out of 120. In addition, we are moving faster than expected on the international network. And thus far, we have approximately half of the international network [indiscernible]
Andrea Maldi: Thank you, Giovanni, Francesco. The third question is, I think -- the third question is, I think that if I recall properly, is on the overall approach on the other -- on the base cost on what we normally define as indirect cost. As you know, we have identified an important indirect cost base spending that we are taking. There has been already a significant portion of activity of acceleration and work on this target on the financial target in 2025, which is going to pay off because -- to pay back quite quickly because we are expecting to be on track with the year-end net results. The saving is quite important in the range of the 70% of the overall in direct base cost. And this process will continue in 2026 as well, not only clearly on the personnel and staff cost, as you just mentioned, as a part of the overall restructuring project, but also on the indirect cost as well. Just to highlight again that if you take our announcement to date of the overall results, we have been able to achieve an overall EUR 20 million reduction of cost in the first 9 months of 2025 compared to last year. This is including already overall EUR 5 million of personnel cost saving in the first 9 months.
Francesco Di Giovanni: Well, as far as the last question was about the business plan.
Andrea Maldi: The last question is about the business plan. I think that we have expectation is that we are working on it and that we -- probably in the beginning of spring, let's say, placing the date in spring next year, we will produce an amended or an adjusted business plan, a revised and updated business plan. Clearly, we will need to catch on the sales and the new cost structure to represent the evolution from 2027 and going forward for the next 3 years of the plan. At the same time, we are working deeply in those weeks in the budget for 2026, and we are trying to commit to remain in terms of cash flow unchanged compared to the expectation of our business plan that we have declared to the market back in March 2024 either.
Operator: [Operator Instructions] Management, there are no more questions registered at this time.
Francesco Di Giovanni: Okay. Well, thank you very much, everybody.
Andrea Maldi: Thank you.
Operator: Ladies and gentlemen, thank you for joining. The conference is now over. You may disconnect your telephone.